Operator: Thank you for standing by, and welcome to the Meituan First Quarter 2025 Earnings Conference Call. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Scarlett Xu, VP and Head of Capital Market. Please go ahead.
Scarlett Xu: Thank you, operator. Good evening, and good morning everyone. Welcome to our first quarter of 2025 earnings conference call. Joining us today are Mr. Xing Wang, Chairman and CEO; and Mr. Shaohui Chen, Senior Vice President and CFO of Meituan. For today's call, management will first provide a review of our first quarter of 2025 results and then conduct a Q&A session. Before we start, we would like to remind you that our presentation contains forward-looking statements, which include a number of risks and uncertainties and may differ from actual results in future. This presentation also contains an audited non-IFRS accounting standards financial measures that should be considered in addition to and not as a substitute for measures of the company's financial performance prepared in accordance with IFRS accounting standards. For a detailed discussion of risk factors and IFRS accounting standard measures, please refer to the disclosure document in the IR section of our website. Now I will turn the call over to Mr. Xing Wang. Please go ahead, Xing.
Xing Wang: Thank you, Scarlett, and hello everyone. In the first quarter, our business maintained steady growth with revenue increasing by 18.1% year-over-year to RMB86.6 billion. Both annual transacting users and annual active merchants reached new highs. We are delighted that an increasing number of consumers and merchants choose Meituan as their preferred platform for local services. Beyond our ongoing efforts in enhancing products and services to elevate their experience, we have continued to expand our investments in the ecosystem development, actively promote the industry's healthy growth and unlock greater consumption potential for China's local services through improved supply and service innovations. Since the launching of our food delivery business more than 11 years ago, we have continuously diversified our product offerings, broadened our price bands and optimized our 30 minute delivery network to bring better services and choices to hundreds of millions of consumers. Over the years, we also supported millions of merchants, especially small or medium sized merchants, to reach out to new customers, achieve business growth and navigate industry cycles. To promote the industry transition into a phase that focuses on healthy development, we aim to further facilitate industry transformation, enhance the online business operation environment and generate greater value for the food service industry. Through our innovative and refined supply models, we continue to help restaurant merchants uncover new growth opportunities. For example, we actively promoted brand satellite stores [Foreign Language] and that enabled chain restaurants to rapid expand their geographical presence with a much lower cost compared to traditional dining establishments. By the end of the first quarter, more than 480 brands have successfully launched more than 3,000 high quality branded satellite stores on Meituan. What's more impressive is the average revenue per store is several times that of a typical dining store. And besides branded satellite stores, we also designed and refined other innovative offline business formats -- different formats offering customized growth strategies and operational solutions for chain restaurant merchants. Additionally, we introduced our self-operated cloud kitchen tailored for chain restaurant brands. Meanwhile, we fully recognize that small and medium sized merchants are the cornerstone of China's food service industry. These business are also essential to the local employment and community economy. We remain steadfastly committed to providing more support to the small and medium sized merchants. Our goal is to ensure that those small and medium sized merchants who operate diligently on our platform, gain visibility and trust from consumers and gradually become consumers' preferred choices. In Q1, we further implemented a comprehensive range of measures to support high quality small and medium sized merchants. These include providing financial assistance, traffic support, free digital tools and online services. By doing so, we effectively helped this merchant improve supply, elevate service quality and offer broader selections. Furthermore, recognizing the importance of food safety and product quality, we have launched Bright Kitchen program [Foreign Language] and other food safety measures to enhance our platform supply quality. We believe higher transparency allows consumer to easily discover high quality restaurants. To support micro merchants including family-owned restaurant and community restaurant, we offer them targeted subsidy to cover costs such as hardware procurement, installation expenses. to join our Bright Kitchen program [Foreign Language]. Looking ahead, we plan to invest RMB100 billion over the next three years to drive the whole food service industry to high quality growth. These resources will be used to support merchants across various categories and to boost consumer demand. Couriers are an indispensable part of our ecosystem. Over the past decade, we have consistently enhanced our measures to protect couriers' rights and interest and to improve their working experience. Since July 2022, we have provided over RMB1.5 billion in occupational injury insurance for all couriers on our platform across seven pilot provinces. We plan to roll out occupational injury insurance to more provinces this year and expand nationwide by the end of next year. This April we also launched a new pension pilot program for couriers that will be gradually rolled out nationwide in future. Meanwhile, we offer comprehensive talent development program and career promotion path for couriers. Notably, 86% of the management position within our delivery network are filled by couriers promoted from the front line. We also provide couriers on diverse job transfer opportunities within our platform and already sponsored hundreds of couriers to enroll in universities for higher education. Beyond work support, we provide living and health care assistance to couriers and their families. For example, we have allocated more than RMB100 million in critical illness aid for over 6,000 couriers and their families through our Baby Kangaroo Charity Program and that is [Foreign Language]. We have provided tens of millions of RMB medical assistance funds and provides educational support for couriers' children. We also place great emphasis on supporting female couriers. In 2024, the number of female couriers who have received income from our platform exceeded 700,000. This March, we provided female couriers with free one year coverage of critical illness insurance for women [Foreign Language]. Looking ahead, we will collect more feedback and suggestions from our couriers, continue to enhance their welfare and ensure that their hard work is duly recognized and rewarded. In Q1, Meituan Instashopping continued to deliver robust growth, underscoring the great potential of on demand retail and its broader consumer recognition. In April, we officially launched our on demand retail brand Meituan Instashopping, [Foreign Language]. Consumers can easily access the Instashopping page directly from the homepage of the Meituan app to browse and purchase all kinds of daily necessities, at around the clock next generation shopping platform Meituan Instashopping work with millions of retailers, brands and local small and medium sized merchants. We meet the daily shopping needs of more than 300 million consumers across the nation, delivering an unparalleled experience that gets high quality products to consumers hands within 30 minutes. This public brand debut is a direct response to the surging popularity of on demand retail. We aim to offer more high quality products along with an enhanced convenience and a more reliable shopping experience for every consumer. We also aim to jointly capitalize on the opportunity for industry transformation and supply chain upgrades with millions of merchants on our platform. As an important new sales avenue for retailer and brand owners, Meituan Instashopping will continue to introduce more online tools and support merchants across all categories to expand in Meituan InstaMart, [Foreign Language] and these measures will help drive business growth for the merchant and enhance their online operations. And now let's turn to in-store. Adapted to the demand trends and the new macro environment, we have proactively expanded our product categories and services offerings to cater to the diverse consumer preferences. For example, in response to the evolving consumption trends, we rolled out initiatives like Safe Learning that is [Foreign Language], Safe Training that is [Foreign Language], providing more flexibility for consumers to restore consumer confidence in prepaid services. Safe Learning has onboarded over 20,000 education institutions across the country, covering extensive education scenarios with causes spanning sports, arts and other fields. Consumers can seamlessly place orders and redeem services installments, request refunds when needed with a single click on our platform. Building on this success, we recently launched Safe Training [Foreign Language] which covers fitness training and extending this worry free consumption model to broader in-store categories. Meanwhile, leveraging the efficient user friendly online tools and wide array of marketing programs, we also help merchant reach a larger customer base with enhanced conversion rates, enabling them to benefit from digital transformation and achieve business growth across various consumption scenarios. The number of annual active in-store merchants increased by more than 25% year-over-year in Q1 and beyond offline merchants, our platform hosts numerous independent artisans such as photographers, hairstylists and estheticians [Foreign Language]. At the platform connecting artisans, merchants and consumers, we introduced a suite of offerings for the artisans from onboarding process, reviewing management -- review management, content display, operations support to consultation services. These services empower over one million active artisans to develop their personal brand online. We also streamlined collaborations between merchants and artisans while enabling consumers to easily access their preferred artisans with broader selections and high price to value and distinctive service experience. Since integrating the medicine -- medical aesthetics and healthcare business into the medical and health division, we have further enhanced cross sells, deepened penetration into the industry supply chain, and delivered comprehensive medical and health solutions to consumers. During the peak flu seasons in the first quarter, we collaborated directly with pharmaceutical companies to ensure sufficient drug supplies while solidifying our leadership in the on-demand medicine delivery, we expanded our supply to address the needs of chronic disease medicines and medical equipment and further increase the user purchase frequency. Meanwhile, we have extended a partnership with medical aesthetics providers, dental clinics, eye care clinics, specialty clinics and traditional Chinese Medicine hospitals and more. We targeted our existing user base to cross sell more medical and healthcare services. For example, in dental care, we focused on deliberative consumptions such as dental implants and refine the price comparison experience and decision making process for the consumers. We also introduced Safe Implantation Functioning Zone, a guarantee to mitigate consumers' concerns and risk. For eye care, through expanded supply and targeted marketing campaigns, we capitalized on the on a demand scenario of students renewing their eyeglasses during winter vacations and travelers purchased sunglasses for holiday trips. Looking ahead, we will continue to innovate our products and services to meet the consumers' evolving one stop medical and health care need. And at the end of March, we roll out the Meituan Membership program, [Foreign Language], which encompasses all our business categories. It features Shen Quan as a universal benefit covering every aspect of consumers daily lives. We aim to provide members with a wider array of benefits and elevated experience. Under this membership framework, users can accumulate growth points, ascend through the membership tiers and unlock additional privileges. Currently, the privilege mainly include the hotel, travel and various other local services categories. Going forward, we will continue to expand member benefits to more categories. Additionally, we will introduce tier-specific privileges, such as priority delivery services for food delivery and free complimentary drinks and dishes for in-store and to continuously enhance the user experience of Meituan Membership. And we anticipate to solidify the consumer mindshare in Meituan and as the go-to platform to discover local stores, earn great deals through the new Meituan Membership brand. By providing benefits that span all categories and scenarios, we seek to boost user stickiness, increase transaction frequency and optimize cross sell efficiency. Now let's move on to our new initiative segment. In first quarter, we further refined operations, achieved notable efficiency improvement in grocery retail, software and hardware services on year-over-year basis. Through grocery retail business like Xiaoxiang Supermarket, Meituan Select, [Foreign Language], we started to offer comprehensive support for export enterprises covering marketing, channel expansion and brand partnership and so on to help them distribute high quality export products in domestic markets. Our overseas business also witnesses a significant breakthrough, in Saudi Arabia, Keeta has very effectively showcased our product capability and technological edge by delivering an enhanced consumer experience in both transactions and deliveries. We have won wide recognition from local consumers, quickly risen as one of the top preferred food delivery apps in the region. And looking ahead to the rest of 2025, we remain steadfast in our commitment to fostering the healthy development of our ecosystem. On the merchant front, we will introduce more support measures, improve the online operational environment and help merchants iterate innovative supply format. Regarding our couriers, we will offer a broader range of measures to safeguard their rights and enhance their benefits while promoting social recognition for their contribution. For our consumers, we are devoted to delivering more comprehensive services, products and membership benefits, particularly to those who have been our loyal supporter over time, and by leveraging AI technology, we will continuously refine our user experience and improve merchant operation -- operational efficiency. And furthermore, we are proactively aligned with the national strategies aiming at boosting consumptions and expanding domestic demand. By staying attuned to emerging consumption trends and identifying new markets and new opportunities, we will promote consumption growth and industry transformation, contributing to the broader economic landscape. With that, I will turn the call over to Shaohui for an update on our financial results.
Shaohui Chen: Thank you, Xing. Hello everyone. I will now go through our first quarter financial results. During this quarter, our business sustained healthy growth with our total revenue increasing by 18.1% year-over-year to RMB86.6 billion. Cost of revenue ratio decreased 2.3 percentage points year-over-year to 62.6%, primarily due to the improved gross margin of our grocery retail business and strengthened operating leverage, partially offset by the increased cost related to overseas businesses. Selling and marketing expenses ratio decreased 1 percentage points year-over-year to 18%, thanks to our enhanced marketing efficiency. Both R&D expenses ratio and the G&A expenses ratio maintained stable year-over-year at 6.7% and 3% respectively. Our strategic focus on quality growth and operational efficiency continue to deliver strong results. This quarter, total segment operating profit grew to RMB11.2 billion up from RMB6.9 billion last year, and total segment operating margin increased from 9.5% to 13%. On a consolidated basis, our adjusted net profit increased year-over-year reaching RMB10.9 billion this quarter. Turning to our cash position, as of March 31st, 2025, we maintained our strong net cash position with our cash and cash equivalents and short term treasury investments totalling RMB180.4 billion. Cash generated from operating activities increased meaningfully year-over-year to RMB10.1 billion. Now let's review our segment results. Starting with Core Local Commerce, we saw sequential recovery in our on demand deliveries year-over-year order volume growth this quarter, for food delivery with the headwinds from warm winter subsidizing. Q1 daily order growth was higher than that of Q4. Medium to high frequency users continue to demonstrate significantly greater engagement. This is a direct result of our focused execution, cross supply side optimization, production iteration and operational enhancement. Meantime, we continuously itinerate our new supply formats this quarter. Notably, [Foreign Language] sustained its strong growth trajectory with core consumers retention rate climbing steadily year-over-year. This quarter, Meituan Instashopping sustained strong growth momentum, numerous consumption categories including beverage, snack foods, safety corn, appliance, beauty and personal care as well as other novel categories are to deliver standout performance. The Valentine's Day period proved particularly noteworthy with daily order volume nearly doubling year-over-year. Beyond flower gifts, we also observed significant demand expansion in non-food gifting category such as small appliance, jewelry and beauty products, demonstrating our platform's evolving role for more consumers, particularly among the younger generations and formal categories. In addition, Meituan Instamart proves our continued progress on the supply side. The number of Meituan Instamart and its order contribution continue to increase, especially in the lower tier markets. Our Insta business effectively capture heightened consumer spending during key holiday period with order volume increasing by about 50% year-over-year this quarter. We enhanced our Special Deals program. It not only continued to gain traction across high frequency categories like light meals, fast food and beverage, but also catalyzed increased demand for seasonal consumption categories around holidays. In lower tier markets, we maintain strong momentum with continued growth in merchant coverage, user engagement and the transaction volume during Q1. Importantly, we achieved these results while further improving profitability in lower tier cities. The optimized Shen Quan Membership program has emerged as another powerful growth accelerator for this quarter, effectively helping star hotel travel business, acquire new users, reengage inactive users and increase transaction frequency. Our Core Local Commerce segment continued to deliver strong year-over-year revenue growth of 17.8% reaching RMB64.3 billion. Core Local Commerce segment's operating profit and operating margin both improved on year-over-year basis to RMB13.5 billion and 21% respectively. We drove greater efficiency in operations across our Core Local Commerce business and realized greater operating leverage. Turning to our new initiative segment. During this quarter, revenue in this segment increased by 19.2% year-over-year to RMB22.2 billion, mainly due to the development of our grocery retail business and overseas business. Thanks to our efforts in improving operating and marketing efficiency in our grocery retail business, the segment's operating loss and operating loss ratio both narrowed on year-over-year basis to RMB2.3 billion and 10.2% respectively. The sequential increase in operating loss was mainly due to our increased investment in overseas business. In closing, I would like to highlight that over the years, our Core Local Commerce business have navigated complex and evolving market conditions with resilient performance. Each challenge has made us stronger, strengthening our competitive edge, driving operational excellence and delivering consistent financial improvement. Looking ahead, we remain confident in the substantial growth potential across all businesses of our Core Local Commerce segment. The increasing synergy will further amplify our advantages. We have full confidence in our ability to sustain healthy quality growth over the long term. With that, we are now open for Q&A.
Operator: Thank you. [Operator Instructions] Your first question today comes from Ronald Keung from Goldman Sachs. Please go ahead.
Ronald Keung: Thank you, Xing, Shaohui, Scarlett. So I want to ask about on the food delivery side, that JD announced RMB10 billion subsidy program into food delivery and made some progress. So has this initiative impacted our order volume growth to date? And how does management assess the shift in the competitive landscape? So meanwhile, given Ele.me also announced a similar RMB10 billion subsidy program, so will we be making any corresponding adjustments to our subsidy strategy to sustain competitiveness? And what specific measures will we adopt to respond to this new competitive environment? And how might these market changes influence Meituan's overall profit growth for the current year? Apologies for the long question. Thank you.
Xing Wang: Okay. Thank you, Ronald. I think that's a very important question. So the short answer is that we are going to take whatever measure it takes to win the game. Now, the longer version. So it seems kind of funny. So RMB10 billion here, RMB10 billion there. It seems every Internet player wants to chip in their RMB10 billion in the game. So that means the winner is going to be really valuable and we plan to be the winner. Currently, we are the largest player in this business and we have been doing this for more than 10 years and we have endured several rounds very fierce competition in the past 10 years. So now I think we are better positioned to win again this time. So I would like to elaborate on that. So first I want to highlight that we welcome the new entrants to this food delivery and on-demand retail market. The movement of the new entrants underscore the significant growth potential that exists within the food delivery and a broader on-demand retail sector. We believe our competition will drive the development of the whole industry with a particular upside for on-demand retail where our Meituan Instashopping deals. However, I have to say that the current industry kind of irrational subsidy competition characterized by low quality and low price is probably not sustainable in longer term. So eventually competition should realign with the business fundamentals. Only the platform that can effectively activate the three pillar flywheel of consumers, merchants and delivery network will achieve sustainable growth. We maintain full confidence in our scale advantage and competitive mode of our location based on demand delivery network. We remain confident about the future growth potential of both our food delivery and our broader Meituan Instashopping business. And to be more specific, on food delivery, the recent very heavy subsidy in the industry have effectively catalyzed more demand, particularly for the very elastic consumption categories such as milk, tea or coffee beverages. And our platform also experienced very robust growth in the beverage category in April and May, and other food categories also maintained steady growth. And we also observed that more mid frequency users increased their order frequency and it became higher frequency users. The retention rate of these core users maintained very high and because of the intensified competition, consumer experience on other platforms compromise in areas such as system outage and delayed delivery and a very high refund rate. But our platforms has consistently delivered a stable experience through our very reliable delivery network and advanced system because we have been operating for more than 11 years. So we have built a high sophisticated service capability that can meet the consumers daily demands across broad price bands and different consumption scenarios. And our platform hosts a large number of high quality small and medium sized merchants who serve not only at the cornerstone of our food delivery supply, but also at the vital backbone of China's food service industry. Through continuous product and service iterations, we assist a small and medium sized merchants in customer acquisition and revenue growth. Meanwhile, we help branded restaurant to innovate their supply model including the branded satellite stores, [Foreign Language] and community dining stores. These innovative offerings like [Foreign Language] not only address consumer demand for value for money options, but also help merchants boost order volumes increase revenues. These collective efforts have diversified and elevated the quality of our supply. Coupled with our industry leading delivery network and continuous operational enhancement, we are well positioned to deliver more predictable services and richer consumption experience for our consumers. And we are confident that as the industry irrational subsidy phase out and consumer will choose the platform that offers the broadest selection, the best experience and more reliable services. So we are prepared to confront the competition, so in near term, we will make necessary investment to solidify consumer mindshare. And we are confident in our ability to maintain our long term leadership in the industry. Meanwhile, we will prioritize the healthy and sustainable development of the whole industry and the ecosystem. We believe that China's food delivery industry should enter a new phase of development. Neither platforms nor merchants should go back to the previous competition model driven by very aggressive subsidies. And increasing number of merchants are now actively embracing new supply format, seeking growth by enhancing product quality and service offerings. And they are also facing up to the industry challenges such as excessive marketing promotions and food safety issues. We recognize that these industry wide issues are profound and require immediate attention. Therefore, in order to directly addressing competition, we will active drive innovation on the supply side and tap into new growth opportunities this year. We will also take proactive steps to improve the overall quality of the industry, optimize the online business environment for merchants. We are also actively advocating against unnecessary and excessive competition within the industry. We will continue to help merchants streamline their marketing efforts and reduce the operational burdens. At the same time, we will focus on enhancing our marketing efficiency and boost the purchase frequency and user stickiness of our core users. And we remain committed to creating tangible values for all stakeholders including merchants, couriers and consumers and thereby guiding the industry toward a more rational and quality service driven growth trajectory. Financially, and due to the intensified competition, we expect volatility. So I think nobody should be surprised that there will be volatility in short term financial results. Recently, other players are still maintaining a very high subsidy ratio. Under these circumstances, we will continue -- we will increase our investment while adhering to principle of a fair and orderly competition. And our overall investment philosophy is to drive the industry healthy growth and defend our market position. We will also increase investment in the ecosystem as committed. And as a large portion of our investment we will counter revenue. We expect the year-over-year growth rate for our Core Local Commerce revenue in Q2 will decelerate from that of Q1 and operating profit for Core Local Commerce in Q2 will decrease significantly year-over-year. We do not know how long the irrational competition from the new entrants of the market will continue. So it's impossible to give accurate financial guidance at this point for Q2 or the rest of the year. But we will continue to defend our market share. We are very confident we can solidify our market leadership. We have been instrumental in growing the industry in China in the last decade and now we are best positioned to continue to create value for all stakeholders. And we hope all stakeholders can see through short term fluctuation and focus on our long term competitive strength sustainable growth potential. In the longer run, whole local commerce has room to unlock revenue and cost synergies among different businesses. And as our business further scale up, economies of scale will become more evident. We also anticipate that after this phase of intense competition, the food delivery industry will return to a more rational or sustainable growth path leading to a healthier ecosystem. And then we are confident the GDV profit margin of Core Local Commerce will steadily improve to a reasonable value. And also I think the regulators is also working on this. But because we have been doing business in the Internet sector in China for more than 10 years. So I believe it's the job of the regulator to stop the irrational and unhealthy subsidy competition. And our job is to win the fight as long as it's allowed to go on. So we are going -- we are ready, we are prepared to do whatever it takes to win the fight and solidify our market leadership. Thank you.
Ronald Keung: Thank you, Xing Wang.
Operator: Thank you. Your next question comes from Ya Jiang from CITIC Securities. Please go ahead.
Ya Jiang: Okay. Thank you, management. We can see that on demand retail has become a lifestyle for more and more young people. And with our rebranding of Meituan Instashopping, what are our strategy in expanding to more category selections? And how is the progress of our Instamart? Also, where are we moving up to higher ticket size items like consumer electronics and appliance? Thank you.
Shaohui Chen: Thank you for the question. Yes, I'm glad you asked the question about Meituan Instashopping which we launched in 2018 and since then it's seen -- it's expanding to many categories and covering almost all the aspect of daily life category like flowers, fruits, fresh food are naturally well suited to the on demand retail model. For this category, by integrating the innovative product formats, we are able to incentivize new consumers demand and redefine the boundaries of the on demand retail industry. But at the same time, more importantly, Meituan Instashopping has maintained a robust growth trajectory in non-food category as well, such as the 3C home appliance, beauty and personal care, mom and child, pet care, daily necessity and apparels. These categories, though often perceived as low frequency due to their non urgent nature, have also witnessed remarkable growth. With our continuous efforts to broaden product coverage and elevate quality standards, the order growth for non-food category exceeded 60% in the first quarter. Our extensive assortment of daily necessities and long tail products effectively address consumers urgent needs. Categories such as beauty and personal care, toys and video games, pet care, mom and child products also fulfill consumers aspiration for a quality lifestyle and emotional satisfaction. The growth of 3C products and home appliances is also striking. Portable small home appliances, kitchen appliances, camera equipment, smart devices and gaming equipment all achieve substantial growth on our platform. Notably, some consumers have even purchased large home appliances like refrigerator and laundry machines through our on demand retail platform. Additionally, the apparel order volume from young consumers have far exceeded our initial expectations. These developments indicate that on demand retail has become an important channel for meeting diverse consumer needs and a trusted lifestyle choice for the younger generation. Meituan InstaMarts represents our innovative supply model. Currently, we have more than 30,000 Meituan InstaMarts with over 10,000 of them being convenience stores. The remaining InstaMarts cover almost all the categories previously mentioned. We are constantly enhancing the coverage density of convenience store InstaMart for categories like fruits, pet care and beauty products. Their InstaMart network have reached significant scale and are in the midst of rapid expansion. Excuse me. Meanwhile, categories such as trendy beverage, food has entered an accelerated growth phase after initial expiration. Furthermore, an increasing number of leading brands from sectors including supermarket, convenience stores, small home appliance and daily necessities are accelerating their embracement of Meituan InstaMarts. We remain committed to instill a series of merchant support. As for Q1, total transaction user of Meituan Instashopping has exceeded 500 million, with young consumers born after 1990s accounting for two thirds of this figure. User stickiness and purchase frequency also increased. We officially launched our on demand retail brand called Meituan Instashopping to build on this solid foundation, Meituan Shangou. We are trying to deliver everything to your doorstep within 30 minutes [Foreign Language]. During the initial phase of the brand launch, our strategic marketing campaigns drove the peak daily active user of Instashopping to nearly 6.5 million, with young users born after 1995 accounting for more than half of its total. In May, we launched the first service assurance plan [Foreign Language] that covers the whole process of on demand retail in this industry. Partnering with hundreds of well-known brands and a wide range of local merchants, we upgrade our service experience, fulfillment and after sales services. Our goal is to promote on demand retail as the most superior shopping experience in terms of service and guarantee. For example, we collaborate with home appliance brands to provide half day delivery and installation service for home appliance, offer exclusive delivery and customer service for high value merchandise and enable 30 minutes delivery of products under the trade in program from hundreds of thousands of local stores. We also offer seven day return guarantee services for millions of stores and launched guaranteed reimbursement for fruits and fresh produce that are damaged or for bills of beverages that are not chilled as promised. We firmly believe that Meituan Instashopping will emerge as a leading consumption platform for more consumers, particularly among the younger generation. We expect that with the updated brand name and service assurance plan, we will take an increasing share in the high AOV categories and work more closely with an increasing number of brands. For example, in Q1, we successfully onboarded five prominent brands such as Super Midea (ph), Philips to set up InstaMarts on our platform. This collaboration not only provides consumers with high quality electronic products, but also generates substantial incremental revenue for brand owners, effectively fostering a win-win ecosystem. In addition to better satisfy consumers' strong demand for on demand retail, our food delivery business as well as Meituan Instashopping will launch June 18 marketing event from May 28, [Foreign Language]. We will collaborate with restaurant and retail brands to provide consumers with more cost effective products and services. In conclusion, we are extremely confident in the huge potential of Meituan Instashopping for long term. Thank you.
Ya Jiang: Thank you.
Operator: Thank you. Your next question comes from Kenneth Fong from UBS. Please go ahead.
Kenneth Fong: Hi. Good evening, management. Thanks for taking my question. Could management elaborate on the recently announced RMB100 billion food subsidy promotion plan for the next three years? Meanwhile, Meituan has also launched a pilot program for the couriers pension insurance. Could you share some colors on the latest progress as well as the expansion plan and then the pace for the rest of the year? Thank you.
Shaohui Chen: Thank you for paying attention to our announcement. Yes, it's correct that we have announced an RMB100 billion investment plan to drive industry growth for the next three years. Our goal is to help industry find new growth opportunities, improve their supply quality and cultivate a more favorable business environment for restaurant merchants through our sustained investments. This plan caters around four key areas. First, empowering merchants. Last year we launched our first RMB1 billion Merchant Support Fund [Foreign Language] by the end of April this year, the program has benefited over 180,000 merchants covering small and medium sized merchants community Keeta BRICS (ph) first shops, high quality brands venturing into new supply formats in lower tier markets, and also renowned time owner brands. Merchants have utilized our support funds for online operation improvement, product innovation and equipment upgrades. The second focus area is elevating supply quality. The branded satellite stores [Foreign Language] we introduced last year has helped over 480 brands open 3,000 high quality satellite stores. Leveraging AI driven services such as location selection, product curation and targeted traffic support, these branded satellite stores have achieved an average revenue 2 to 3 times that of traditional stores. In addition to expanding the branded satellite stores, we also allocate resources to high performing merchants, including Shen Qiang Shou merchants, while providing various special subsidies to other quality merchants. Certainly, we will continue to promote the Bright Kitchen program [Foreign Language] these initiatives aim to encourage more high quality food delivery merchants to set up high standard kitchens, thereby strengthening the industry food safety infrastructure. With increased hardware subsidy and traffic support, we anticipate that the number of participating merchants will exceed 100,000 by the end of this year. We will invite more food delivery merchants to join our Bright Kitchen program because it allows consumers to observe the food preparation process in real time. This transparency is key to enhancing public confidence in food safety. Fourthly, stimulating consumption, we will leverage diversified products such as Meituan Membership Shen Quan to incentivize users. We aim to invigorate food delivery consumption, enabling merchants to boost order volumes and expand their business. Regarding the pension for couriers, on April 3, we launched a new pension pilot program in Nantong and Quanzhou covering all couriers in these two cities. Over the years, we have maintained regular communication with relative authorities continuously deepen our understanding of Social Security policy guidance for flexible workers and gain more insights into the needs of couriers. This has enabled us to proactively explore effective solutions for enhancing the rights and interests of flexible workers. Previously, we implement the Occupational Injury Insurance Pilot Program, which has provided RMB1.5 billion insurance coverage to about 7 million couriers in seven pilot provinces. The newly launched Pension Insurance Pilot program is designed in line with the national policies for flexible employment Social Security. It offers subsidies specifically tailored to the unique nature of couriers job. Here's the detailed scheme, for couriers whose monthly income reach the lowest threshold of the local contribution base for Social Security in three out of the past six months, Meituan will subsidize 50%. This plan fully respects the flexibility inherent the new economy, allowing couriers to freely determine their work schedules and workloads. By lowering the participation barriers, it can cover broader couriers with no precondition requirements, no limits in where couriers register their Social Security, no requirements regarding working hours or delivery volume, no distinction based on delivery types. In early May, the first batch of couriers enrolled in our Patient Insurance Pilot program received our cash subsidies. We are pleased to see the program has been positively received by the Human Resources and Social Security Bureau in the pilot cities. Going forward, we will continue to address couriers' enquiries about the pension insurance plan, enhance policy promotion and encourage couriers to participate in the program. We plan to expand the pilot program to more cities this year, continue to refine it during the implementation. At the same time, we are confident that the efficiency and order density increase in our network will be able to provide cost savings that can offset the incremental cost from this insurance. Thank you.
Kenneth Fong: Thank you. Shaohui.
Operator: Thank you. Your next question comes from Gary Yu from Morgan Stanley. Please go ahead.
Gary Yu: Hi. Thank you, management for the opportunity. Could management share the latest progress of Keeta in both Hong Kong and Saudi Arabia? What are the company's core competitive advantages in these regions? The company had previously mentioned to focus on Middle East in the short term but recently announced to enter food delivery market in Brazil. Why is the company preparing to enter regions other than the Middle East ahead of schedule? What are Keeta's regional expansion plan and criteria for selecting new markets? And since the overseas market is not as large as the Chinese market, could management share its overall plan and long term goals for these overseas business? Thank you.
Xing Wang: Thank you, Gary. So Keeta has been making good progress in both Hong Kong and Saudi Arabia. So last week we celebrated the second anniversary of Keeta in Hong Kong. So it was officially launched on May '22, two years ago. So in the past two years, we have been able to become the largest food delivery player in Hong Kong. And also we are continuing to grow in terms of both order volumes and average order value and also the market share and also the number of restaurant and number of couriers. That's for Hong Kong. In Saudi Arabia, we launched in last September, so we are slightly more than half a year old to them. But now Keeta has been operating in all nine cities. So that's about every Saudi Arabian city with a population of more than 1 million. And so that's the current -- our market and we plan to expand to more Saudi Arabian cities. And also you are correct that we announced a plan to enter Brazil and we are committed to investing $1 billion in the next five years. So I will explain why and how we plan to win the game. So we got into the food delivery business in late 2016 and over the past decade we have invested a lot to build global leading food delivery business. So currently we are handling more than 20 million orders on a daily basis. And in the process of building this food delivery business, we have developed a world leading system. And that takes a lot of software engineering skill to build. And it takes a lot of machine learning to optimize the order dispatch system. So it's quite easy to build a primitive online order, online food app. But when it grows in scale and when you need to meet the demand of more and more users, more and more restaurants, and more and more couriers, you have to use machine learning to optimize system. Otherwise you will not be able to cope with the increasing demand. So through Meituan we have built that system. We are confident we have one of the best systems and we plan to apply all the knowledge and all the operational know-how through Keeta. And we want to bring these core competencies to other markets. We are competent by leveraging our competitive products, services and operational know-how, we are well positioned to offer consumers, restaurants and tourists in other markets with a very fast delivery, very good user experience. And also I think in that process, we are going to help create a lot of employment opportunities in those markets. So I think well, in a few years, Keeta will become a top choice food delivery platform in a growing number of overseas markets. About the pace of our plan. So I think as we have stated in the past, Meituan is destined to become a global company in the longer term. We are in no hurry. So we will evaluate every opportunity very carefully. And the decision to enter a new market is made through a comprehensive analysis that takes into account many factors that include current size and the potential size of the market. Also the growth potential and also the market structure is very important because when you enter market, you want to make sure you can become either number one or number two, otherwise it doesn't make much sense. So the market size and market structure and also because we need to work with a lot of local partners, so we pay a lot of attention to the regulatory framework and the overall business environment in Insta market. So regarding Brazil, I think it's very important that we see that enduring strategic partnership between these two countries. President Xi visited Brazil last year and President Lula visited Beijing earlier this month. So I think that shows the strength of the strategic partnership between two countries. And also we believe that investment of a Chinese company in Brazil will be well received by both Brazilian consumers and local merchants. Yeah, I've been to Brazil earlier this year, so I see a very vibrant economy with a very big population. So I think Brazil is a country with a lot of potential. So it's one of the largest countries. In terms of territories, Brazil is number five. In terms of total population, Brazil is number seven. In terms of GDP, Brazil is probably around number nine. But in terms of food delivery, Brazil is actually among top five. So that shows the current size and the potential of the Brazilian food delivery market. Also I think it's not entirely fair to say that other markets are not as big as China. Of course, the two largest market globally is China and the United States. And nobody should be surprised, but there are many other countries. If you put them together, they will be bigger than either China or the United States. But because there's many countries and each country is going to be different, so we need to evaluate the opportunity more by individual countries. So our current plan is to work on both Saudi Arabia and prepare for the launch of Keeta in Brazil. So yeah, we are very excited about this. Keeta is doing well in Hong Kong and Saudi Arabia and Brazil is a very good opportunity in the longer term. And also I have huge confidence in the growth potential in global food delivery or in even more broader term, not only restaurant food delivery, but also the on demand delivery in general. So right now in many markets, food delivery is only an occasional convenience for selected populations. But I think over time it will become -- the penetration will become higher and the frequency will become higher. We have a witnessed that in China. I think it's going to take place in many different countries and given our know-how and our world leading software system, I think we should be able to bring that to that market and create values for all stakeholders there. So that's our plan and I think it will have some impact on our short term profitability. But I think in longer term, the global expansion represent very good and very promising growth opportunity for us. I think that's the plan. Thank you.
Operator: Thank you. Your next question comes from Alicia Yap from Citigroup. Please go ahead.
Alicia Yap: Hi. Thank you. Good evening management. Thanks for taking my questions. Congrats on the solid results. My question is related to investment and capital allocation. So given the company's significant increase investment in the overseas expansion and also face domestic food delivery competition, will the company modify business strategy and investment scale of Meituan Select to balance your overall profitability and cash flow? What are the company's capital allocation priorities and strategies? So will the share repurchase program be suspended because of the higher overseas investment? Thank you.
Shaohui Chen: Thank you, Alicia. Yes. We constantly conduct a comprehensive review of our capital allocation strategy and always try to balance the Core Local Commerce cash flow, the priority and resource requirement of new initiatives as well as shareholder returns to come up with an optimal capital deployment strategy for each year. As for the competition, we have consistently confronted competition and emerged stronger through them since day one. We believe that healthy competition serves as a catalyst invigorating industry and fostering its long term development. Despite short term profit fluctuation due to competition, we are confident that our Core Local Commerce segment will continue to generate robust cash flows providing a solid financial foundation for our own expansion and our grocery retail business. Our new initiatives are at very wide growth stage. We have tailored distinct KPIs for each business unit and we are carefully assessing the performance of each business and dynamically adjust our strategy. As for Meituan Select, it's part of our broader grocery strategy. We maintain a very committed approach to capture the grocery opportunity in China. We believe the industry has huge potential in being digitized and provide better user experience and to provide better infrastructure to improve the efficiency of the whole industry. At the same time, we realize China is very big and the grocery industry is very fragmented. We need different solutions for different markets. For example, in higher tier markets we operate Xiaoxiang Supermarkets leveraging the front end warehouse model and it is performing very good. We also have the marketplace model called Meituan Instashopping, to building a platform for local retailers to connect with local consumers. These two business have been instrumental in establishing our brand image in grocery retail. For lower tier markets and for more daily consumption, we believe they all should be using different models in service a very challenging and fragmented market and Meituan Select is what we are using to testing the potential of this market and to validate the business model in those markets. While it turned out to be much more challenging than we have expected, we continue to believe in the potential in improved supply chain capability and provide better experience for these lower TST demands. We will continue to focus on testing Meituan Select model and validating its unit economics rather than expanding its scale. So the total loss from Meituan Select is under control. Despite this, we also have seen continued improvement in its business operation since last quarter. Specifically, we have enhanced the efficiency and service quality of pick up stations, upgrade product quality and improve the delivery timeliness. This year we will continue to fortify our core competence and improve our operation efficiency. As the question for shareholder returns, we will continue to assess our cash reserve and potential net inflows and make flexible arrangement. We will maintain share repurchase program as the main channel for shareholder returns. Our fundamental goal is to offset the share dilution caused by our ESOP program each year as the starting point. Beyond this, we will also look for appropriate market window to further reduce the number of outstanding shares when we feel the time is right. Thank you.
Alicia Yap: Thank you.
Operator: Thank you. Your next question comes from Thomas Chong from Jefferies. Please go ahead.
Thomas Chong: Good evening. Thanks management for taking my question. Could management update us about the progress of company's AI large language model as well as the R&D expenses and timeline of the relevant applications? Thank you.
Xing Wang: Thank you, Thomas. Yeah. Of course, no earnings score is complete without a question on AI. So this quarter while we continue to strengthen our capabilities in all three layers, when we talk about AI, I think there are at least three layers, the AI infrastructure and the AI in products and AI at work. So that's how we view AI. And this quarter, we iterate our foundation large language model. We have launched a new AI application and services for external users. At the same time, we also enhanced the suite of employee productivity tools to boost our own efficiency and improve the work experience. So it's fair to say we have made good progress on all three fronts. So first on AI infrastructure, we continue to increase our investment for large language model and allocating resources not only to infrastructure CapEx but also to recruiting top tier AI talents and to ensure our foundation language model is among the best tier in China. And during this quarter we made continuous upgrade to our LongCat large language model. The enhanced model can now seamless switch between reasoning and non-reasoning modes with the performance in both modes reaching the caliber of China's leading models, we have also updated our end-to-end voice interaction model LongCat F. So this updated model demonstrates advanced capabilities in understanding nuanced information including the emotion or contextual environments and engaging in natural voice conversation. So it performs closely approach that of GPT 4.0 and the value of AI extend beyond efficiency improvement. It can also serve as a powerful tool to empower merchants on our platform. So by leveraging AI we can better help merchants accelerate the digital transformation and optimize the cost and on May the 18, the Meituan Restaurant Advisory Committee hosted an AI Evolution in Food Service Symposium in Shanghai and drawing from feedback in committee discussions. Next month in June, we plan to launch [Foreign Language] it will be an AI powered business decision assistant for the food service industry. It will act as an intelligent operational assistant for food service merchants and industry professionals covering four key scenarios, the cuisine dish selection and the new store location selection, menu development and store operations. This innovation marks a shift in the industry decision making from experience driven to AI plus data. That is a new process and it will effectively mitigate operational risk for merchants while viewing business growth. And the third one I think is actually the most exciting one for the past quarter. So we believe developing internal AI Tools as AI at work, we want to use AI to enhance employee productivity and the workplace experience that remains a key priority in our AI initiative. So in the last quarter, we continue to improve the AI coding capabilities for engineers and actively promote internal adoption of AI coding. So currently about 52% of new code in our company is generated by AI. And in some R&D teams over 90% of the team members use AI coding tools extensively and our goal is to gradually achieve 100% adoption across all engineers and we have our own No Code platform and it's for all employees and it has been widely adopted internally. The No Code platform allows user to quickly generate applications through natural language dialogue without requiring prior coding experience. And No Code is now used by all professional roles within our company including product managers, user experience designers, business analysts, HR and finance staff. They leverage No Code for creating product prototypes, interactive pages and efficiency tools. With 62% of product managers, 28% of business analysts using the No Code platform internally. And last week we launched the No Code platform for public users free of charge and the URL is nocode.cn. Users can bring various creative ideas to life without any coding skill. We believe this application will support digital transformation for small or medium sized merchants in this AI era. On nocode.cn, users have created 9,410 applications with more than 1,600 of them published and in active use. So in longer term, we believe Meituan's unique advantage lies in our diverse consumption scenarios. We have abundant offline services offerings and we have very strong fulfillment capabilities. So we will continue to build our AI capability in foundation R&D and application and leveraging AI to help people eat better, live better in the physical world. Thank you.
Operator: There are no further questions at this time. I'll now hand back to Scarlett for any closing remarks.
Scarlett Xu: Okay. Thank you for joining our call. We look forward to speaking with everyone next quarter.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.